Operator: Greetings. Welcome to voxeljet AG Third Quarter 2019 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. Please note, this conference is being recorded. I would now turn the conference over to your host, Johannes Pesch, Director of IR and Business Development. Thank you. You may begin.
Johannes Pesch: Thank you, operator, and good morning, everyone. With me today are Dr. Ingo Ederer, voxeljet's Chief Executive Officer; and Rudi Franz, voxeljet's Chief Financial Officer. Yesterday, after the market closed, voxeljet issued a press release announcing its third quarter financial results for the period ended September 30, 2019. The release as well as the accompanying presentation for this conference call is available in the Investor Relations section of the company's website at voxeljet.com. During our call, we may make certain forward-looking statements about the company's performance. Such forward-looking statements are not guarantees of future performance, and therefore, one should not place undue reliance upon them. Forward-looking statements are also subject to inherent risks and uncertainties that could cause actual results to differ materially from those expressed. For additional information concerning factors that could cause actual results to differ from those discussed in our forward-looking statements, you should refer to the cautionary statements contained in our press release as well as the risk factors contained in the company's filings with the Securities and Exchange Commission. With that, I would now like to turn the call over to Ingo, Chief Executive Officer of voxeljet.
Ingo Ederer: Thank you, Johannes, and good morning, everyone. Thanks for joining us today for our third quarter call. From a big picture point of view, we are executing well on our key goals of driving our technology into series production. Our sales funnel looks good and pretty impressive and our colleagues all around the world are working hard to turn these prospects is orders. Backlog for 3D printers reached a record level at the end of October with approximately €5.6 million and the fourth quarter looks like it could be even better than last fiscal quarter. What is more important, this maybe would become EBITDA positive for the quarter. We're really proud of the progress we have made launching new products and continuing to grow our business into new areas, which has been particularly exciting to see how recent projects turned into new products that can support critical demanding applications and address the challenges that are most important to our customers. Please turn to Slide 4, this year we are celebrating our 20th anniversary and are looking back at the multitude of exciting projects. Remember, we basically started in a garage in Munich and fast-forward today, products made with our technology are flying in space and we are implementing with VJET X an additive manufacturing solution for true mass production.  In our Indirect Parts segment, we address the need of our customers for production-ready solutions and start to commercialize high-performance products like VJET X. In our Direct Parts segment, we have successfully entered the market for direct and functional parts with High Speed Sintering. We have built on the knowledge we have accumulated in the development of VJET X, HSS production solutions combined with new materials should be a game-changing combination. We are very excited to present for the first time to the public at the next week’s Formnext show. On Slide 5, we have highlighted our unique selling propositions, which are strongly aligned with the growing trend for higher performance products across all of our end-use markets. We differentiate ourselves from competitors by build size, material diversity and speed. Our printing systems are modular, versatile and highly scalable, and therefore, uniquely positioned to support critical demanding applications and address the challenges and needs that are most important to our customers. Looking at Slide 6 and our integrated business model. It balances long with short sales targets and helps us to maintain close relationships with our customers. In our Systems segment, we manufacture and sell industrial-grade, high-speed, large-format 3D printing systems geared towards mass production of complex models, molds and direct parts. The primary target for this segment is to sell market systems contracts. In addition to that, we put a high emphasis on after-sales activities and are already seeing positive results from these initiatives. In our Services segment, we operate these systems and facilities around the world to offer affordable, on-demand access to our technology. The primary target for this segment is to sell large multiyear volume contracts. We are in advance talks with several parties for such volume contracts all across the world. In addition to that, offering services is a great cash flow positive marketing tool to convince customers to purchase 3D printers. Slide 7 shows our global sales network and production footprint. As you can see, we have reached an established position in all major markets in EU, U.S. as well as China. We continue to expand our sales teams around the world by investing in sales leadership, additional application engineers and training. To complement this, we focus on educating our channel partners to ensure true global coverage. On Slide 8, you can see some of the potential applications of our products and selected customers. Over the last 20 years we have been working with leading companies from a variety of industries to produce parts that cannot be produced in any other way with traditional methods of manufacturing. In the automotive sector, for example, we support manufacturing of the most complex engine components like cylinder heads or turbochargers to improve engine and overall vehicle performance. Meanwhile, we are also printing, for example, battery casings for optimized heating and cooling in electric vehicles. We anticipate significant opportunities for revenue growth across our portfolio of solutions for the remainder of 2019 and beyond. On the right side of this slide, you can see an illustration of our new large HSS printer. We are very excited to present this platform for the first time to the public at the Formnext show in Frankfurt next week. This is really exciting news as we expect the new HSS printer to expand our addressable market considerably. Besides VJET X, this project has the highest priorities in our R&D and manufacturing teams. Let's now start with the formal part of the presentation. I will begin with an overview of the third quarter results, Rudi will then provide a more in-depth view of our financials and our outlook for the fourth quarter of 2019. Following his comments, we will be happy to take your questions. Let's turn to Slide 10 of the presentation and begin with an overview of the third quarter 2019. Revenue for the quarter was approximately €4.4 million, which represents a 38% decrease compared to last year's third quarter. It sounds more dramatic than it is, especially because we had an exceptionally strong third quarter last year where we shipped our larger systems to clients in Asia.  Let's break it down. Revenue from our Systems segment, which includes revenue from selling 3D printers, consumables and spare parts as well as maintenance, decreased 56% to €1.6 million in the third quarter of 2019 from €3.7 million in last year's third quarter. We delivered three new printers in this year's third quarter compared to three new printers in last year's third quarter, while the revenue from the sale of 3D printers was lower as we shipped smaller systems. The revenue contribution from after-sales activities increased.  We see a record level of backlog for 3D printers, which it is very exciting as we received orders for all of our 3D printing platforms, from the smallest VX200s to the largest VX4000s for the fourth quarter this year.  I would also like to highlight that the gross margin contribution from the sale of individual 3D printers is still above 30%, in line with the guidance corridor we had stated in this past. This was offset by overhead functions like purchasing or management growth in the after-sales department, which are included in the gross margin reported in the Systems segment.  We currently are identifying options to improve the overall margin in our Systems segment and are reducing overhead costs. Basically, we are looking at everything which is not helping us to deliver a better product to our customers.  Revenue from our Services segment, which focuses on the printing of on-demand parts for our customers, decreased 17% to €2.8 million in the third quarter this year from €3.4 million for the same quarter last year.  Let's look at the drivers. Demand from customers in Germany was fairly stable, which was offset by a drop in demand from French and Italian customers, who are mainly active suppliers to the automotive industry. Revenue contribution from our service center in U.S. likely decreased as a result of lower call-offs from our volume contracts for printed sand parts. Revenue contribution from our Chinese Service Center more than doubled as compared to the same period last year which is excellent news.  Revenue from the UK market increased overall and was mainly driven by higher demand for selling printed parts. Keep in mind, these parts are produced in the German service center and then shipped to the UK. At our facility in Milton Keynes we currently operate two VX1000 printers and two VX200 HSS printers. Following our full analysis, we decided to consolidate the whole European 3D printing production in the German headquarter and cancel the lease of the Milton Keynes production facility. This will help to reduce overall costs, and should lead to improved gross profit margins by realizing economies of scale in the German service center. As a result, a one-off expense of €0.3 million is included in the cost of sales for the third quarter. In the UK, we plan to expand our sales team and focusing on selling 3D printed parts and 3D printer.  Let’s turn to Slide 11, here you can see that order backlog for 3D printers increased 82% over the last four months. This is excellent news and in combination with the start of the commercialization of new products planned for next year, very encouraging. To remind you we define backlog as firm orders for 3D printers.  Slide 12 summarizes the results and looking at operating expenses, I would like to highlight, to stay ahead of the curve we followed the strategic decision which remains unchanged since our IPO in 2013 to add new technology and capability to further strengthen our unique portfolio of new printing solutions. After all, we are a technology company. We have significantly invested in innovation over the past few years and we are beginning to see the outsized returns that can be generated through incremental investments.  To be clear, as revenue is growing we plan to reduce related R&D spending and keep it more or less on an absolute level, where it is now. A question that we are often asked is what do you do with all the R&D dollars? It is important to understand that we are working at the forefront of technology and our innovative solutions to complex technical problems. We use this knowledge to build actual industrial 3D printers which can have the dimension of a small house. We are a technology company and we will continue to strengthen our business as a leader in the global AM industry.  Let’s turn to Slide 13 and an excellent result of many years of research, experimentation design as redesign. Our team has developed a new high volume production solution 3D printer for high sintering and to reach 1000 HSS. On this slide, you can see immediately what differentiates us from our competitors. We believe we can build large and faster 3D printers than anyone else in the industry. The new HSS printer has an effective growth volume of 238 meters, this is as we believe 6 times more than the largest printer of our closest competitor which is all using a printer based 3D printing technology. With this printer, we can mass produce direct costs out of traffic for sports equipments, consumer goods, electronics and similar end markets. Some customers among them are big U.S. sports equipment, OEM, visited us recently and already got a preview of the new VX1000 HSS high volume production printer.  We are actively working with several multinational companies from various verticals including sports equipments and consumer goods on the development and qualification of new materials. We are making great progress, our strategy is simple, qualify new materials in mostly paid for development projects and make sure that it works on our VX200 HSS platform which was specifically designed for this purpose. Then when the large VX1000 HSS becomes commercially available, mass commercialize it. This approach resonates well with our customers and the results are frankly outstanding. We expect the HSS production solution combined with new materials to be a game-changing combination. We will have this printer at our booth for Formnext show in Frankfurt, we plan to make it commercially available towards the end of 2020 and we anticipate to start to collect orders next week or so.  On Slide 14, we can see an HSS part printed with PEBA materials. PEBA is found in the sports equipment market, for damping system components and outsoles of high end shoes. It is also widely used in the manufacture of electric and electronic goods not just electronic device, casings and components. PEBA can also be used to make textiles as well as breathable films or non-woven fabric.  On Slide 15, you can see a picture and a link to a video showing them a massive process unit of VJET X in action. We build on this knowledge as we finish the development of the new HSS printer. The HSS production solution combined with new materials should be a game-changing combination. On Slide 16, we have summarized answers we are frequently asked by investors. Regarding VJET X, the first two VJET X units are printing at the automotive OEMs facility in Germany. Together with our partners, we are currently improving the processes after the 3D printing to ensure reliable parts quality. We are optimistic to get this done in the near future and we expect them to book revenue for the first two VJET X units early next year. We also expect to receive an order for additional VJET X unit. We are being approached by other OEMs and Tier 1 suppliers, who are very keen to learn more about VJET X and its application in series production. We are often asked about the impact of e-mobility and reduced CO2 emission standards on our business. This is a very legitimate question as roughly 40% of our revenue is related to the automotive sector. The trend to e-mobility, stricter regulations for reduced CO2 emissions and improved fuel efficiency means three things: First, the demand for hybrid vehicles is growing. Hybrid vehicles need more parts and higher complexity than single internal combustion engines. Second, the demand for super efficient ICEs with lower CO2 emissions is growing as a result of stricter environmental regulations. Such engines have higher energy densities and need better cooling devices, which can only be made with 3D printing. This also applies to new battery and electric engine housings for e-mobility. Just recently we have presented a 3D printing housing from an electric engine at eMove 360 which is one of the largest shows for e-mobility. Third, lightweight materials and design has always been an important topic in product design across several industries. The concept has been most important in aviation but other industries where large rotating parts like for example rotor blades of wind turbines are key elements of product design and in automotive driving dynamics are a major consideration. The use of lightweight materials will significantly grow across industries while the lightweight share is currently highest in aviation. We expect that automotive is massively increasing lightweight share to 70% by 2030. This means more complex geometry printed with 3D printers.  So summarize, the trend to e-mobility, lightweight, improved fuel efficiency and more complex hybrid engines is good for 3D printing companies in general, and even better for voxeljet in particular. With VJET X, we can provide a solution for cost efficient series production of such metal parts.  On Slide 17, we have highlighted some impressions of the eMove 360 show. And Slide 18 summarizes our expected roadmap towards profitable growth.  With that, I would now like to turn the call over to Rudi.
Rudi Franz : Thank you, Ingo, and good morning to everyone. Our aim is to deliver long-term value for our shareholders through attractive growth and stronger margins and optimal deployment of capital. Our full attention remains firmly on driving operational execution to deliver these outcomes. I would like to begin by providing financial details and adding some additional context of results before discussing our outlook for the rest of 2019.  Overall demand continues to be good and we expect to enter into additional large volume contracts for 3D printer products. Just two weeks ago I was in China and we had excellent meetings with existing and new customers both on the equipment and service center side. Going forward, a new 3D printing system start to contribute to revenue growth, we are optimistic to balance out some of the fluctuations in our Systems segment. As our installed base of 3D printer is growing, the recurring revenue portion continues to grow as well. This brings us in a position to enjoy the more predictable growth that recurring revenue will provide to us.  Based on our fourth quarter backlog and the discussion we had with our customers over the last week, we expect to see a new record in revenue in the fourth quarter and as that become EBITDA positive for the fourth quarter.  Turning to Slide 20. Our total revenue decreased 38% to €4.4 million in the third quarter compared to €7.1 million in the last year's third quarter. As Ingo mentioned earlier, the decrease was mainly due to lower revenue from our Systems segment as we sold smaller systems in this quarter. For the fourth quarter, our backlog includes orders for all of our platforms from the smallest VX200s to the largest VX1000s. This kind of seasonality is not a typical for our business and is accentuated this year by an increased economic uncertainty especially in the automotive and automotive-related industry.  Gross profit and gross margin in the quarter were €0.9 million and 19.5% compared to €2.3 million and 32.5% in last year's third quarter. The decrease was mainly related to lower gross profit contribution from the Service segment as a result of the restructuring of voxeljet UK, where we booked a one-off expense of €0.3 million. Gross margin contribution from individual printer sales is about 40%. Because smaller printers were sold this quarter, the absolute gross profit was too low to cover the overhead expenses. Next quarter, we definitely look different and we are looking to add option to reduce overhead costs in this segment.  The next slide shows our segment reporting for the quarter. On Slide 21, revenue from our Systems segment, which includes revenues from selling 3D printers, consumer goods and spare parts as well as maintenance, decreased 56% to €1.6 million from €3.7 million in last year's third quarter. Again, this is due to the reasons mentioned earlier.  We sold three new printers in this quarter compared to three new printers in last year’s same period. Systems revenue represented 36.9% of total revenue this quarter, compared to 52.6% in last year's third quarter.  Gross profit and gross margin in the quarter was €0.4 million and 22.6%, compared to €1.2 million and 32% in last year same period. The gross margin contribution of individual printers is about 40% and in line with the guidance we’d given in the past.  On Slide 22, Service revenue decreased 17.1% to €2.8 million compared to €3.4 million in last year’s third quarter. The demand from German customer was almost unchanged but we have experienced a significant drop in demand from French and Italian customers in the automotive sector. Revenue in Services from China doubled. The U.S was slightly weaker as the call-offs from the volume contract was softened. We are carefully monitoring our markets and are in consistent dialogue with our customers.  In the UK, we saw an increased demand for printed sand parts which is really good news. Remember we print these sand parts in Germany and ship to the UK. It was not an easy decision but we concluded to stop 3D printing production in the UK and to consolidate all European 3D printing production in Germany in third quarter. We expect this to lead to improved gross margins as we achieve economies of scale in our German facility.  The UK team now focuses on selling 3D parts and 3D printers. Gross profit from our Service segment decreased €0.5 million from €1.1 million in the third quarter of 2018. This was mainly due to the one-off charge related to restructuring in the UK.  Looking now to the rest of the income statement on Slide 23, SG&A expenses were €3.3 million in the third quarter of 2019. This compares to €3.5 million in last year’s third quarter. Research and development expenses were €1.9 million or 42.6% of revenue which is definitely too high. A large portion of R&D expenses are related to VJET X and the large HSS production platform as Ingo highlighted earlier.  Operating loss was €3.5 million in the third quarter this year compared to an operating loss of €2.8 million in the comparative period in 2018. Net loss for the quarter was roughly €3.9 million or €0.80 ordinary compared to a net loss of €3.8 million or €1.02 ordinary share in the prior year’s quarter.  On an ADS basis net loss was €0.16 per ADS in the third quarter of 2019 compared to a net loss of €0.20 per ADS in the third quarter of 2018. This is based on weighted average number of ADS outstanding of 24.18 million for the three months ended September 2019. Compared to the last year’s same period, the number of ADS outstanding was 18.6 million. On Slide 27 -- 24 to 27, we have prepared the same financial metrics for the nine months period ended September 30, 2019.  Slide 28 shows selective balance sheet items. At September 30, 2019 the company had cash, cash equivalents and short-term investments and bond funds of roughly €13 million. Total debt at September 30, 2019 was €21 million. Total debt consists of €20 million of long-term liability which includes €10 million from European Investment Bank, the EIB’s Horizon2000 venture debt program, and €3.8 million of lease liabilities as a result of initially applying the IFRS 16 standard. Lease liabilities were previously classified as operating leases.  Weighted average ordinary outstanding for the quarter were €4.836 million which equates to 24.18 million ADSs. I remain comfortable with our cash balance and overall liquidity position. We believe that our balance sheet with an equity ratio of up to 60% positions us well for the long-term.  Moving now on to Slide 29 and our revenue guidance for the full year. Full year 2019 revenue is expected to be between €24 million and €27.5 million. As we discussed earlier in the call, we expect to see an increase in revenue in the fourth quarter based on our backlog and expected customer demand. Equipment is available in the relevant regions and the name behind every deal.  Gross margin for the fourth quarter is expected to be above 40%. SG&A spending is expected to be in the range of €12 million to €12.5 million and R&D spending is expected to be between approximately €6.5 million and €7 million. Depreciation and amortization expenses are expected to be between €3.75 million and €4 million.  CapEx spending for 2019 is projected to be in the range of €2.0 million to €2.5 million, which primarily consists of ongoing investments in our global subsidiaries. Adjusted EBITDA which includes the impacts of foreign exchange valuation is expected to be neutral to positive for the fourth quarter of 2019. Revenues for the fourth quarter 2019 is expected to be in the range of €9.0 million and €12.5 million. On Slide 30 we have summarized our projected long-term operating margins.  This concludes my remarks. And with that, we will now open the call for your questions. Operator? 
Operator: [Operator Instructions]. Our first question is from Troy Jensen with Piper Jaffray.
Troy Jensen: Maybe first for Ingo. So if we could dive a little bit more into High Speed Sintering product launch here. I guess I would be curious of ASP range, I think you've already mentioned kind of the timing of the revenue ramp but also these channels, will this be a product that’s sold through direct sales or you'll be working with partners and resellers to sell the product?
Ingo Ederer: Thank you Troy for this question. As you heard me saying, this is a very exciting time to represent the prototype version of this machine. We named it prototype since we are facing a further development phase beginning next year, and we are planning to have a bidder program available for the end of next year with outside customers. So this means, if we are good then we see; first, revenue impact by the end of next year. It takes a bit longer than probably in '21. We believe that this product will change some of the applications and industries in future. It has definitely the opportunity to help us dramatically in our growth and we do address new markets.  So this comes then to the next part of your question, what is the right channel for this product? I think we have with our existing channel and our sales force a fairly good access to the automotive industry. So this is something that we can market the product already. For sure we are thinking about other segments and other verticals and also thinking about other channels to address these markets. And then as you may have seen, recently, we changed our organization slightly and we have introduced a new Director solely responsible for the HSS sales, which is James Reeves. So we are I think addressing this change in our approach very fairly and we will look forward to him helping us and finding the right way to market this product.
Troy Jensen : Okay. And then I know you called -- I'm assuming Nylon 12 is probably the first material that it launches with and now you call that PEBA. Can you just highlight any other materials in the pipeline? Is elastomers possible or metals or green metals I guess, I was thinking, but…?
Ingo Ederer: This is a machine mainly -- a technology mainly suitable for polymer materials. I know that competitors are also thinking about ceramics or metals with it. We don't see this. For this moment we’re focused on polymers. I think there's a broad enough market for the polymer side. The PEBA is a very nice and interesting material set especially for the sports goods industry. You will see us probably launching this product with a different material so the PA 12, the Nylon, this is of course a most important widely used AM material in polymers. But I think we are also very nice and very good in the polypropylene, which is a very important material in other markets. So one of them will probably be the key material where we sell the machine with.
Troy Jensen: Okay. And then maybe if you could just switch to sand casting. I know you’re talking a lot of growth is on the High Speed Sintering stuff. But I would just love to hear your thoughts on what's going on in the sand casting market. It seems like it’s been exceptionally weak competitor and also the European automotive vertical, it sounds like it’s bleeding in the countries now, the weaknesses. Just wondering if you could get bottoms here and get better in 2020?
Ingo Ederer: Well. Yes, the automotive sector currently in the general is suffering from low sales uncertainty in the market. While on the other hand, they need to develop future regulations different -- different engine concepts like the e-mobility or more CO2 reduced combustion engines. So, on the one hand, we see this short-term impact on our part sales for instance that we have lower demand for our services from our Services segment.  On the long-term, I expect even higher demand, because they need to develop further and they need to develop their new engine concepts. So, I'm quite optimistic for probably the next year beginning, maybe not the beginning, but the next -- the second half of next year should have already upturn because they need to develop new concepts here.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to management for closing remarks.
Ingo Ederer: As you know, At voxeljet, it is our mission to establish new manufacturing standards. For metal parts, we have introduced VJET X last year and signed a deal with a leading German auto OEM. For functional plastic parts, we are thrilled to launch our new VX1000 HSS printer at next week's Formnext show. In short, we remain on the offence and are very excited about the opportunities ahead. We are fully committed to make this fourth quarter the best in our history so far in terms of revenue and to become EBITDA positive for the quarter. Thank you for joining today’s call and we are looking forward to seeing many of you at next week’s Formnext show in Frankfurt. Bye, bye.
Rudi Franz: Bye, bye. Good weekend. 
Operator: Thank you, this concludes today’s conference. You may disconnect your line at this time. And thank you for your participation.